Operator: Good day, ladies and gentlemen, and welcome to the PGT Inc., Second Quarter 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) Today’s conference is being recorded. I would now like to turn the conference over to your host Mr. Brad West, VP and Controller. Please go ahead sir.
Brad West: Good morning everyone and welcome to PGT’s quarterly investor conference call. We’re pleased to provide an update on our second quarter results and discuss the progress we’re making in 2013. Hopefully everyone had a chance to review our earnings release issued yesterday. Before we begin, let me remind everyone that today’s conference call may contain statements concerning the company’s future prospects, business strategies, and market outlook. Such statements are considered to be forward-looking. These statements do not relate strictly to historical or current facts. Rather, they are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to our press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtindustries.com. Included in the press release are the unaudited consolidated balance sheets and statements of income prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our press release, which was included as an exhibit to our Form 8-K filed on July 31st with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today’s call, Rodney Hershberger our President and CEO and Jeff Jackson our Executive Vice President, CFO will provide an overview of our performance for the second quarter. After their prepared remarks, we’ll have ample time to address any questions that you may have. With that, let me turn the call over to Rod.
Rodney Hershberger: Thanks Brad. Good morning everyone. We delivered our strongest quarterly sales growth since 2006 achieving 35.2% compared to our second quarter of 2012. This growth was driven by a combination of improving market conditions in Florida and market share gains. As a reminder approximately two years ago we changed our strategic focus to concentrate our resources in our core market of Florida. That change in strategy have and continues to payoff. Macro-economic conditions continue to improve as consumer confidence is increasing and unemployment is down. Also access to credit is improving. Interest rates remain low and housing prices are on an upward trend. In addition Florida single-family housing starts increased 32% during the quarter. Our sales and marketing programs also contributed to the growth in sales. We offered programs during the quarter focused on both consumers and dealers which grow incremental WinGuard sales and improved our product mix. As a result of these promotional campaigns as well as the economic factors sales increased in both the new construction and repair and remodel markets over the second quarter of 2012. New construction sales in the second quarter 2013 came in at $19.1 million up 57.8% over the second quarter of 2012 while repaid and remodel sales were $43.7 million an increase of 27.2%. Our aluminum products represented 73% of total sales increased 32%. Our vinyl products represented 27% of sales and grew 49%. A highlight within our sales growth is our vinyl WinGuard growth at 64%. Impact sales grew 38% over the second quarter of 2012 and represented 76% of total sales compared to 74% a year ago. We see vinyl continuing to gain traction in our core markets and we have a strong line of products to serve these growing segment. During the quarter we successfully completed the secondary offering which resulted in the sale of 12.65 million shares of common stock owned by JLL Partners. We did not receive any proceeds from the sale of shares of common stock. In addition we purchased 6.8 million shares from JLL funded by refinancing our long term debt. JLL now holds 12 million 650,000 million or 27.7% and we now have a much larger and more diversified shareholder base and public plot. Our stock performance resulted in an increase in net income to $9.9 million compared to $3.7 million a year ago. The financial improvement is the result of the continued dedication of our employees to work hard to keep pace with the growing demand or products and consistently deliver on our value proposition. Second quarter’s adjusted EBITDA was $10.9 million or 17.3% of sales. This was a $3.1 million or 39% increase over the second quarter of 2012. Adjusted EBITDA for the first six months of 2013 was $80 million an increase of $6.9 million. As we continue to leverage our sales growth to the bottom line. Gross margin dollars increased 27.6% or $4.5 million to $21 million over the second quarter of 2012. The increase was driven by strong revenue growth and improved operating leverage. As a percent however gross margin decreased to 33.5% of sales compared to 35.5% from the second quarter of 2012. The decrease in gross margin percentages is due to an increase in labor costs and scrap resulting from the hiring and training of an addition 274 new employees in the quarter to meet the increased demand for our products. This was in addition to the 159 employees hired during the first quarter. Out total employee headcount current stands at 1317 as we continue to hire into our third quarter. We estimate to take six months on average for our new manufacturing employee to become efficient in terms of quality labor hours and material scrap. Margin was also impacted by the purchase of finished glass units to support sales in excessive certain internal capacity. As both quarterly and year-to-date revenue grew over the prior year SG&A cost as a percent of sale declined from 25.6% in second quarter of 2012 to 22.7%, second quarter of 2013. Adjusting for fees related to the operating and debt refinance, SG&A as a percent of sale decreased to 20.3%. Some highlights for the second quarter of 2013 include, an improvement in our mix as WinGuard product sales were up 38.9% from the prior year. Selling, general and administrative costs, adjusted for fees related to secondary offering and refinance were 20.3% of sales a decrease of 5.3%. Net income of $9.9 million and adjusted net income of $7.7 million or $0.14 per diluted share after adjusting for discrete tax items and fees related to the secondary offering and debt refinance and adjusted EBITDA of $10.9 million up $3.1 million or 39% versus prior year. And summing up our second quarter performance, I’m excited about our results and optimistic about our ability to continue to improve our performance as we drive topline sales. I’m thankful for the commitment of our employees they have worked hard to meet increasing demand for our products. Our results demonstrate the strategies we put in place over the past few lean years are working and we have the right leadership team in place to deliver on the significant increase in demand for our products. With that I’ll turn the call over to Jeff who will review the results for the quarter in greater detail.
Jeffrey Jackson: Thanks Rod, and good morning everyone. We continue to achieve strong topline results with sales up 35.2% in our second quarter and adjusted EBITDA up 39% over prior year. This brings our 2013 first half sales increased to 33% and adjusted EBITDA increased to 62%. We continue to leverage revenue growth during the second quarter by reducing selling, general and administrative expenses as the percentage sales to 20.3% after adjusting for the fees related to the offering, compared to 25.6% in the second quarter of 2012. This strong leverage of our growth allowed us to report the best second quarter EBITDA, since 2007 and report our highest earning per diluted shares since 2006. Our quarter-ended cash balance was $15.6 million, which included the impact of paying $4.6 million in transaction fees related to the secondary offering and debt refinancing. We reported net sales of $62.8 million for the second quarter a 35.2% increase. The continued strong pace of new construction remained the key driver as we saw our new construction sales up 58%. Breaking down our sales drivers for the second quarter compared to 2012 second quarter, we have our WinGuard sales were $45 million versus $32.4 million, an increase of $12.6 million or 38.9%. Sales of vinyl non-impact were $8.8 million versus $6.7 million up 31.3% over prior year. Sales of aluminum non-impact were $6.3 million versus $5.2 million up 21.2%. Architectural systems sales were $1.1 million versus $600,000 an increase of $500,000. And our PremierVue sales were $1.6 million versus $1.7 million essentially flat. Gross margin dollars increased to $4.5 million to $21 million for the second quarter of 2013. However, as a percent of sales gross margin was 33.5% versus 35.5% in the second quarter of 2012. Our decrease in gross margin as a percentage of sales of 2% was driven by temporary inefficiencies, as a result of hiring new employees during the quarter to meet the increasing demand for our products, which negatively impacted margins by 310 basis points. The cost of purchasing finished glass units from our outside suppliers negatively impacted margins by 140 basis points. Offsetting these were the leverage of higher sales roughly 200 basis points and reduced aluminum cost of 50 basis points. We’re addressing the increase in cost of labor and scrap by actively recruiting and hiring additional employees in order to reduce the amount of overtime hours required and engage our employees in training program to maximize both the quality of our products and efficiency. At times during the quarter our overtime hours reached 30%. Our internal goal is to manage overtime to 12% grid. We will achieve this by continuing to add additional direct labor and starting third shifts on various product lines. In addition to address our internal capacities for glass production we have considered options to reduce our reliance on outside finished glass products which is driven by our strong sales increase. We determine that the best course of action involves additional cutting and tempering lines in house which will increase our glass processing capacity to meet the demand for incremental sales. Once planned for expansion will finalize and approved the process will take approximately 13 months to complete. Processing glass internally as approached to purchasing finished units strengthens our value proposition and improves our margins. With regards to aluminum our average cost of aluminum was approximately $0.88 per pound during the second quarter, compared to second quarter of 2012 weighted average of $0.95 per pound. We had spot purchases averaging $0.83 per pound for approximately 72% of our needs and hedge purchases averaging about $0.93 per pound. As of today we’re hedged at approximately 43% of our estimated needs thought the fourth quarter of 2014 at an average cost of $0.91 per pound. The cash price as of today is $0.79 per pound. Our SG&A expenses were $14.3 million an increase of $2.4 million from the second quarter of 2012. As a percentage of sales SG&A cost declined from 25.6% to 22.7%. Adjusting for cost related to the secondary offering our SG&A cost were 20.3% sales in the quarter. Highlights within SG&A include $1.5 million for transaction fees related to the secondary market offering in debt refinancing an increase of $600,000 and employee related expenses such as 401k contributions and employee incentive plan and an increase of $200,000 in credit card processing fees as a result of revenue growth. Interest expense was $700,000 compared to $900,000 in the second quarter of 2012 the decreased primarily relates to lower debt levels and the effect of a lower interest rate resulting from improved leverage. The new debt resulted in a further reduction to our interest rate for the remainder of the quarter. We expect interest expense to be approximately $3.6 million annually going forward of the new debt and our interest rate during this quarter was 4.4%. During the second quarter we reversed the valuation allowance recorded against our deferred tax assets. The reversal resulted in recognizing a discrete tax benefit of $3.9 million. The reversal was based upon consideration of a number of factors including recent earnings history and the forecast of future earnings which enabled us to conclude it is more likely did not but the deferred tax assets will be realized. Our tax rate excluding this discrete item was 0% as we released a portion of the deferred tax asset valuation allowance to offset of our regular tax expense. In 2014 and beyond we expect to have an effective tax rate of 38%. We had net income in the second quarter of $9.9 million or $0.19 per diluted share versus $3.9 million or $0.07 per diluted share in the second quarter of our prior year. This net income in the second quarter of 2013 includes the impact of the tax item I previously discussed offset by expenses related to the secondary offering in debt refinancing excluding these factors our adjusted net income was $7.7 million or $0.14 per diluted share. Our weighted average basic shares outstanding were $49.9 million during the quarter down from $53.7 million in the prior year due to our purchase of $6.8 million share from JLL on May 28. At the end of the quarter there were $45.7 million shares outstanding. Adjusted EBITDA was $10.9 million for the second quarter of 2013 versus EBITDA of $7.8 million for the second quarter of 2012. The increase in adjusted EBITDA of $3.1 million is due mainly to $6.8 million attributable to the increase in sales volume and $200,000 from improvement in cost of aluminum. Offsetting these increases was the $2 million impact of temporary inefficiency resulting from recent hiring to meet increasing demand. An increase in material costs of about $900,000 due to the purchase of finished glass units related to certain capacity constraints and an increase of $600,000 for employee related costs. A reconciliation of net income and EBITDA which I have just discussed has been included in our earnings release for your reference. Turning to our balance sheet as of June 29, 2013 our net working capital excluding cash was $23.5 million which increased to $6.1 million for the prior year to support the increase in sales. This is primarily driven by an increase in accounts receivable of $4.9 million as well as an increase in inventory of $2.2 million. DSOs, day sales outstanding improved the 33 days at the end of the second quarter compared to 34 days at the end of the second quarter of 2012. Our free cash flow for the quarter was $5.1 million mainly driven by EBITDA excluding non-cash items such as stock compensation of $11.1 million minus $4.2 million in cash invested in our working capital minus $1.5 million in capital additions and minus the payment of approximately $300,000 for interest. The strong momentum witnessed during the first six months of the year is continuing as we recorded a 42% increase in sales during July. And I expect our third quarter to sustain a positive momentum. From a market stand point we see continued strong growth in both new construction and repair and remodeling markets. We feel our labor as our labor force becomes more seasoned we will improve our leverage on incremental sales growth. With that let me turn the call back over to Rod.
Rodney Hershberger: Thanks Jeff. Our market has shown substantial growth for last three quarters and we will continue to focus on meeting market demand taking share and operational efficiencies going forward. We will continue to capitalize on improving market conditions, invest in advertising to build brand awareness and focus on our commitment the quality to gain market share. Our value proposition which includes a premium pricing structure is proving instrumental in driving sales in market share growth. Our employers are committed to deliver on this value proposition and to succeed as part of the PGT family. In conclusion we are pleased with our recent performance, excited with our present opportunities and believe the future will produce increased shareholder value. With that I’ll conclude and Jeff and I would be happy to answer your questions. [Allie] if you can take the first question please.
Operator: Our first question comes from Sam Darkatsh of Raymond James. Please go ahead.
Unidentified Analyst: Good morning this is Josh filling in for Sam. Congratulations on excellent quarter guys.
Jeffrey Jackson: Thanks Josh.
Unidentified Analyst: I want to talk about the gross margin headwinds from the new labor and the inefficiencies there. Obviously they are, as they get towards your six month anniversary that’s going to be helpful but I assume July running up so well you’re also hiring more folks. So can you talk about the slow over time of the gross margin improvements, not necessarily just the third quarter but also beyond that?
Jeffrey Jackson: Sure first of all just kind of breaking down as gross margins by product line. WinGuard gross margins for the second quarter was 40.5% and kind of all other was 17% as we look at into the gross margins into the future new hires are definitely starting to gain momentum in terms of efficiency. The past I would say three weeks or so our direct labors of percent of sales has been right at 11.2%. That’s compared to the second quarters percentage of 11.6 so there’s already some improvement we’re witnessing. We are still hiring, we hired approximately 15 to 20 on Monday Rod do you want to…
Rodney Hershberger: Yeah we hired about 20 people last week and about 15, 16 people this week.
Jeffrey Jackson: Yeah. So we are still hiring into the third quarter. Turnover is probably the biggest issue we’re addressing internally from a leadership standpoint. If you look at year end we had approximately a 1,012 people so 1,012 people at year end. We currently stand at 1,317 like Rod had mentioned that’s about a 30% increase in headcount in relatively short period of time, seven month period of time. Our turnover has been about 40%. The gross amount of hires we had is close to 520. So as we go through the process our goal is to one, to retain people longer, secondly to get the number of hours under control as Rod mentioned. Our overtime hours due to the spike and demand as reached as high as 30% at times on a consistent basis and we are going to address that by adding shifts on certain lines which will necessitate the further means of obviously hire more people to do that. All this is variable labor by the way the support departments aren’t hiring one for one with that. We will add in the support departments over the back half of the year. But on a sparing basis. So as we do look to add more people we’re talking probably another 150 to 175 more people I’d say at the most that we’d close up the end of this year with an addition to what we have now, net. Does that help, answer?
Unidentified Analyst: So would it be fair to assume that if you’ve gotten 40 basis points or so of improvement already it sounds like is that sort of a good quarterly run rate of improvements as we progress this year.
Jeffrey Jackson: You know it’s hard to take that at this point to be honest with you. We’re still marching through the quarter. I do expect to leverage it better in the third quarter than we did in the second quarter. But we are still hiring like Rod mentioned 15 this week 20 the week before, so we are still hiring and training. And as we spin up that third shift it will be less efficient. The first shift is usually through some most efficient. It’s more seasoned and it’s when we get more production, more throughput. The second shift closely follows we’re almost at full capacity on the second shifts, we’re still actually hiring on that shift but we will reach full capacity in this quarter on second shift. And again as we layering that third shift it will be a little bit less. It would be more of a challenge because it is our third shift and typically those shifts are hard to staff. But it can be a little bit more challenging in terms of training. So we’ve still got our we’ve some things we’ve got to work through operationally I can tell you we’ve got a team working on it that’s in place. It’s the same team that help us lead us through the down turn and now in place to lead us through an upturn. We’ve got various initiatives in place and I feel confident that we will improve gross margin over the back half of the year I just don’t know how much.
Rodney Hershberger: Hey Josh probably a good rule of thumb for you to look at is, we were growing between 30% and 40%, we’re going to create some inefficiencies because have to hire a lot of people. When that drops to 20% or 30% we’re going to pick out a few basis points and when it gets below that we can run pretty efficiently once the employees are trained so it kind of gives you a little rule of thumb to look at.
Unidentified Analyst: That’s excellent color. I definitely appreciate that and dropping to the SGA line where do you peg the fixed portion of those costs given the new staffing levels?
Rodney Hershberger: As a percent of total.
Unidentified Analyst: Total SGA yeah I know both of your hiring’s been on the COGS line but if…
Jeffrey Jackson: We’re still running about 80% of fixed SG&A expenses the biggest variable components are going to be within distribution. Distribution is not totally variable but definitely semi-variable and obviously commission total variable and AIP, annual incentive plan is within that categories above and that’s variable to plan so those are the bigger buckets. But we’re still about 80%.
Unidentified Analyst: Okay and if I could just squeeze one last one in could you talk about how the ERP rollouts progressing maybe what lines you’ve guided on so far and what you’ve learned. And when you plan to roll it out to the impact lines and any safe guards you have in place to make sure that’s a smooth process?
Jeffrey Jackson: Sure, sure this isn’t our first barbecue when it comes to the ERP roll out. I’ve done it in past companies as well as we’ve done it here and we developed an original [MedPacSystems]. And what I would I’d say there its going according to plans ERP is always a challenge but I think we’ve got the resources behind it we’ve got a good supplier that’s providing the software etcetera on the consulting side of the business. We are on schedule to get this done and implemented total switch on by basically this time next year is our goal in to the second quarter of next year. The areas which it is working obviously the finance piece of the business is currently on the new system. The first production side we implemented was in the Eze-Breeze product line followed closely by store front. And what we did, we did those two categories because there are kind of the least impact categories if you will in terms of volume. And we felt like if we did those areas first, what we’re doing is basically creating a skeleton which we’ll then move to other areas and just turn on switches. I know I’m simplifying if you guys are probably rolling in the graves, but that’s basically what happened. We worked out all the bugs with Eze-Breeze and Storefront is running well. And the glass operations is kind of the next portion that we’re currently in, that’s going to plan and then eventually we will switch over and put that system into our impact line and non-impact lines in terms of windows and doors. That process will be in the first quarter of 2014. So we’re not going to do at year end again mainly because the soft compliance related issues not because the lack of confidence is just. If you do change anything real close to year end if there are any problems you don’t have time to mitigate it from soft control standpoint. So we made a decision to skip this work if you will probably at the end of first quarter or around kind of some heavy testing. And then probably go total live during the second quarter of next year at the end.
Unidentified Analyst: Thanks so much guys. Again congratulation on the quarter.
Jeffrey Jackson: Thanks.
Operator: Our next question comes from Steven Dyer of Craig-Hallum. Please go ahead.
Steven Dyer – Craig-Hallum Capital: Thanks guys, congratulations on the terrific results.
Jeffrey Jackson: Hey Steve thanks.
Steven Dyer – Craig-Hallum Capital: Obviously the cadence of the quarter was it seemed pretty strong even July was extremely strong as well. What percentage typically should we think about kind of Q3 sales come in July obviously as you get into the fall and winter seems slow. But how should we think about July I’m assuming typically the strongest month of the quarter.
Rodney Hershberger: Again I’ll note that July is the strongest month. We don’t see a big change in the middle of Q3 right before school and if we choose about this time period over the next couple of weeks people focus on getting back to school. And there might be a little bit slower but then it kind of picks back up. So when you look at the weekly average as we go through the quarter it doesn’t vary a lot. So I don’t see it changing a lot as we go through the quarter. But things surprises occasionally but it’s not, it’s not a monthly driven thing.
Jeffrey Jackson: So I’ll add just a little bit more color to that if you look at last year July our average sales last year it was about 3.3 million per week this year we averaged about 4.6. If you look at the end of the second quarter that average is running about 4.8 so it fell off slightly from the end of the second quarter. If you look through July I would expect August and September to step up in that average. But in terms of average weekly but we have a holiday in there. Yeah but we have some holiday. And obviously we had dry holiday as well for the July. So…
Steven Dyer – Craig-Hallum Capital: That’s great color thanks. And then as you talk about expanding the glass capacity, do you have sort of a CapEx figure in mind or is that still an exploratory stages and when might that come online?
Jeffrey Jackson: Yeah I’ve got a number in mind we’re currently obviously we discuss it with our board and they are very supportive. We’re currently going through the process of finalizing the details of the plan itself and what it involves. I’m also and how we talk to our banks in terms of how we would handle that from a bank kind of covenant issue from our standpoint. We will fund it from cash from operations, we’re not going to take out additional debt to do this. If right now that target number I would say is anywhere from a low of 12 million to a high of 14. Again depending on final negotiations with the general contractor, final negotiations with the land we’re going to buy. What we’ve decided to do is go ahead and built other proposals that’s on the table is to build our own building. We look at several scenarios, we looked at a lease, we found a couple of buildings they weren’t exactly close to the facility, the closest leasing available building to meet our needs in terms of height etcetera was a good 35 miles or 35 minute drive plus in traffic. Those are types of considerations we’re working for analyzed. We also looked at expanding just not existing buildings but that would take too much of our parking kind of parking space which we’re in need of. So what we decided and proposed to the board that we would buy couple of lots very close to the company actually on the adjacent road and within technology park. And that we would build our own building and house our equipments there. So that whole process from start to finish is what I was mentioning in my remarks it’s about a 13 month process. And I expect the cost would be like I said anywhere from $12 to $14 million.
Rodney Hershberger: Yeah Steve it actually works out pretty well if you look at length of time it takes to buy the land and put the building up for the engineering process. And the lead time on equipment they marry really well. So it’s not like it causes more time or there is a faster way to get there something like that.
Steven Dyer – Craig-Hallum Capital: Got you that’s helpful as well. SG&A looked really nice and lean in the quarter kind of will it back out the transaction expenses, how should we think about that sort of as a percentage of revenue as you move through the back half here?
Jeffrey Jackson: As we move to back half I don’t see that percentage released in Q3 changing that much given relative sales volumes. There’s not even spends in the back half that weren’t contemplated or experienced in the first half. We had a big marketing spend during the first half moving out in the first quarter and we get some benefits from that. So there is nothing in the back half that would make me think, you’ll see the same kind of leverage depending on sales obviously. Did that help?
Steven Dyer – Craig-Hallum Capital: Yes that helps and then last question I may have missed so that the reversal of the deferred tax asset did you say then that’s a full 38% tax rate going forward starting in Q3?
Jeffrey Jackson: No stopping in 2014.
Steven Dyer – Craig-Hallum Capital: ‘14. Okay.
Jeffrey Jackson: Yeah what we did again I’m going to explain it high level. What we did was released our valuation allowance that pick up of the 3.9 million. But we didn’t release it also so to speak. We still have an offset we’re going to use over the remaining half of it back half this year as we did in first quarter. I’m sorry second quarter to offset our type experience.
Steven Dyer – Craig-Hallum Capital: Got it. Okay, thanks guys.
Unidentified Company Representative: You bet.
Operator: Our next question comes from (inaudible) Credit Suisse. Please go ahead.
Unidentified Analyst: Hi. Thanks. Great quarter on the topline it is really impressive and nice to see the growth continuing into high. I did want to ask though if I look at key components it was interesting to see really sharp acceleration in the non-impact product sales. And so I was wondering is there any loading effect from the business with my knowledge on the Eze-Breeze side or how should we think about that run rate going forward on non-impact?
Rodney Hershberger: I’ll jump in a little bit then Jeff could probably add a little bit more color to it. One of the things that we did and we announced earlier is we negotiated some contracts with National Home Builders our large home builders where we kind of bundle our product line together so (inaudible). What we saw last year, when sales started picking up and new construction really started picking up is our impact sales were growing pretty nicely. Our non-impact sales were not the low end of the housing market wasn’t using some of our product. As the sales have picked up and we talk a lot about our value proposition and getting product out with really short lead times on time complete. Making sure they can sell every hole in the house as building takes up that become more critical. And our short lead times are really playing in so we’re seeing growth in the non-impact line. They kind of marry, it kind of matches the market. It’s not necessarily that we’re taking a lot of market share there but it matches the market, we’re grabbing a little bit of market share because we’re taking some business away from our competition. And that’s what’s driving that so I think you can kind of compare that to what the markets doing particularly in new construction. You get a pretty good flavor for what happens in non-impact.
Jeffrey Jackson: And I think just to add a little bit more to that if you look at the non-impact line. Aluminum kind of what it is known for. That particular framing material we were up 21% year-on-year when you look at Q2 this year versus last year in that particular line. But vinyl which is really gaining traction especially I’d say North Florida especially but receiving that and that’s what Florida market…
Rodney Hershberger: It’s strong
Jeffrey Jackson: Yeah it’s very strong, we’re up in that particular category 50%. So again those two areas are going to play and what Rod has mentioned, the new construction homes that are in a core driven area. We’ve put in our aluminum and non-impact vinyl. And I think with our growth rates we are probably capturing some incremental market share in those categories. Eze-Breeze the [Monarch] deal obviously a very strong positive momentum for that product line. Eze-Breeze is up 16.2%, so Eze-Breeze that feel continued to grow if it’s successful in the Monarch it’s that kind of a percent. If it’s not, then we have other strategic initiatives in place a DYI site for instance will help grab Eze-Breeze sales we went into the west coast at times for Eze-Breeze. So there’s various laborers if you will deplore on that. So I would look at continued growth and the non-impact side as well. As you marched this, the remaining part of this year.
Unidentified Analyst: Okay. Interesting thanks. And then shifting gears to the margin side and digging little deeper on the capacity expansion there given that time frame now looking like end of ‘14 as the new capacities is kind of up and running. And then there’s some there may be some initial inefficiencies there. At the same time that you’re ramping up sales from current levels, how should we think about the finished glass purchases over the next few quarters and understanding there’s some increased efficiency on the labor side is that an offset by kind of the increased glass purchases in the market or how does that work together?
Rodney Hershberger: I think what you see or what you’ll see I can’t really predict what Q4 and Q1 is going to do, but typically Q4 and Q1 are a little bit slower quarters due to the holidays. And then not really due to the weaker sales on command, but there’s holidays involved in that so you see some drop off in sales. And with that little bit of drop off in sales it allows us the ability to manufacture a lot of our own product. We also have to buy some from the outside but not as much as we do in Q2 and Q3. We would hope that our plant would be operational by Q3 of next year, not end of ‘14, if you look at time line involved there will be a little bit of learning but not long. The products that we’re adding in are the, that’s why we’re expanding there are things we’ve been doing for a long time. And it’s just the matter of getting the equipment in the bricks and mortar in place whether we can do that on more than the three shifts that we are doing right now. So we’ll have additional space to do that, so Q2 of next year will affect us from outside buys, Q3 of mainly slightly as we’re bringing that curve up. But I think we have that under control pretty well by that time.
Jeffrey Jackson: Yeah what to add to that what hurts is in a sense is we don’t have a steady weekly volume of $5 million a week. If we did, we’d define because we could plan the glass accordingly. But we’ve had a couple of weeks we’re it’s been $6.5 and we had $7 million a week. And when we have that we can’t what makes us different, what makes us able to charge a premium price is the fact we need early times we’ve had to extend them on certain lines but we’re still well under the industry and in order to meet those lead times we have to buy glass from the outside when demand comes in at that kind of pace. What we’re doing on that front is we have a great relationship with our outside glass supplier. We’re expanding not only that relationship but we are actually expanding and creating more relationships with other suppliers as backups. Because what we found is that the outside glass supplier has extended their lead time on us. I think the entire value chain kind of has shrunk. And obviously, with the recovery in the market pressures are getting put all over the industry including our suppliers. So we’ve expanded our supply base, we will be able to meet the demand for incremental growth in sales obviously, purchasing more glass from outside than we want to. As we move forward. You will see a little bit of change potentially in that, because one of the areas we’re looking into is price increase. As we look into the back half of this year. we’ve analyzed the market. We work with our sales folks on distribution base and we think price increases is definitely warranted and market will support that. So as we go into the fourth quarter, I think I could tell some volume maybe but we’re going be looking at take the 3% price increase on the majority of our products it won’t be all our products, we’re going to hold the store front and AAS and a couple of product line constant, for our main product line, the WinGuard product lines. We’re going to look to implement a 3% price increase that will be effective in the fourth quarter partly through the fourth quarter .So that will also help with some volume as well. But we will be able buy the glass this cost us in a short-term. We’ll meet our suppliers, expand that supplier base which we’re already doing and obviously as our employees become more efficient we’ll actually get more glass out of our current plan as well.
Unidentified Analyst: That’s really helpful and glad to hear that, you are in a position to raise prices here that’s certainly a strong indicator. Thanks
Jeffrey Jackson: You bet. Thanks for the questions.
Operator: Our next question comes from Steven Dyer from Craig-Hallum. Please go ahead.
Steven Dyer – Craig-Hallum Capital: Yeah just a follow-up for me. What was the diluted share count Jeff, at the end of the second quarter?
Jeffrey Jackson: 45. (inaudible). Hang on Steve I’ve got it here noted somewhere. The 45,733 that is basic shares.
Rodney Hershberger: Diluted share count at the end of quarter was now this is the quarter average. Right so weighted average for the quarter was 53 million 142 million
Steven Dyer – Craig-Hallum Capital: I got that I was just trying to figure out since it was a blended quarter, kind of good diluted number to use going forward.
Rodney Hershberger: Yeah unfortunate that’s not dependent on the price, what you might be able to do is note that there is about $3.1 million or 3.1 million share spread between basic and diluted. And again you have to assume your own price for that because that obviously effects the diluted count but you take the Jeff’s number the 45.7 our spread was 3.1 million at the end kind of before the quarter and that’s probably relatively decent strategies going forward but again if the price goes up the diluted share count goes up and the price goes down by (inaudible).
Steven Dyer – Craig-Hallum Capital: Got it. Okay, thank you.
Jeffrey Jackson: Thanks Steve.
Operator: Our next question comes from Rob Hansen of Deutsche Bank. Please go ahead.
Rob Hansen – Deutsche Bank: Thanks just wanted to ask about the R&R being up 27% year-over-year that seems like a pretty robust trend and kind of continue throughout the quarter because I think you mentioned it was up around those levels early in the first months of the quarters. So I want to see if you could talk about where there any new business wins there I think I saw some WinGuard product line at the Costco so wanted to see how that’s something out of that’s the how much sensitive factor?
Rodney Hershberger: What we see more than anything else is strength in the housing market, with housing values, housing prices going back up lot a consumer confident, a lot of people thinking that now is the good time to invest in the house, people are selling houses that are much more rapid pace it’s a little bit more of a sellers’ market again a little tough to buy a house here right now. So hopefully that doesn’t heat up too terrible much with what we saw in the past but I think there is just the higher confidence level for people are doing some repairs. And I want to remind everyone like we try to do every quarter that it’s a little easier for us sometimes to sell impact windows into the repair and remodeling market because its co driven, its insurance driven and co driven and it’s not just a choice by the consumer to say, I got to make a choice I’m going to improve my house I’m going to remodel something. The window portion of it is co driven and insurance driven. So there is rebates for insurance and there is code reasons to replace windows so we’re seeing that pent up demand. We do have representation in Costco in couple of a large clubs but that really hasn’t really change dramatically we’ve had that for quite some time. It’s just another method for us to get to the end user of home owner and make sure they are seeing our product and understand what a PGT product is. We have great name recognition in our market. Almost a 100% name recognition in our markets. We want to make sure that we maintain that. But my personal feeling and Jeff may add to it but my personal feeling is housing values are going up. People are more confident and its code and insurance driven.
Jeffrey Jackson: Yeah I couldn’t agree more. If you look at housing values alone in April we’re seeing 30% increases year-over-year in housing prices Fort Myers is 32%, increases Miami is increasing, unemployment I think big driver of R&R we’ve always said that a voice component to that. And unemployment at a 5.5 year low, so all good indicators that help people feel confident about spending money and updating their homes.
Rob Hansen – Deutsche Bank: Okay and then just a question on some of the businesses that places like Costco. How does that work in terms of these installation, the installation of your windows is a little more complicated on the WinGuard side because it’s a premium product. I guess who is installing from when they are bought from outlets like that?
Jeffrey Jackson: The windows are in places like Costco are lead generators so those will have dealers that are qualified Costco qualifies the dealers and there are dealers so we’ll bring them to Costco get them qualified. If they can be qualified and then when the consumer expresses an interest in that product that customer of ours actually goes out there and sells the product and the lead generation comes from Costco and there is a cost involved with that.
Rob Hansen – Deutsche Bank: Okay got it.
Jeffrey Jackson: And that goes through our I mean, we are strong believers and it needs to go through our customer, it needs to go through our dealer it needs to be installed properly and that happens.
Rob Hansen – Deutsche Bank: Okay that makes sense and then on the 42% increase in July I just wanted to see how that lift if there is any variation in terms of new construction and R&R there?
Jeffrey Jackson: We don’t look at that by month I have a very confident feeling both those categories are drilling strong in the quarter to see that kind of result. But we don’t break it down there in a month. We look at that at quarter end. So…
Rob Hansen – Deutsche Bank: Alright I appreciate all the commentary. Thanks guys.
Jeffrey Jackson: Thank you.
Operator: (Operator Instructions) Our next question comes from Bob Wetenhall of RBC Capital Markets. Please go ahead.
Robert Wetenhall – RBC Capital Markets: Hey guys good quarter.
Jeffrey Jackson: Thanks Bob.
Robert Wetenhall – RBC Capital Markets: I was curious you did terrific on the topline your sales were up 16 million bucks year-over-year. And Jeff you suggested that you guys are going at 4.6 million a week, just trying to figure this out from a third quarter looking to our top line. Should we be thinking more 55 million or closer to 60 million and any thoughts on how you guys have looked demand wise since for July from a momentum standpoint.
Jeffrey Jackson: I’ll comment as much as I feel comfortable about the third quarter again we’ve never really given guidance. But July was up 42%, our second quarter was typically our strongest quarter it was up 35%. So yeah I think as you enter the third quarter you’re going to see that kind of momentum continuing. What was the other question I’m sorry.
Rodney Hershberger: I’ll jump in a little bit too we were comparing year-over-year so with second quarter typically being our strongest quarter we’re matching up against the quarter but going down little bit in sales but went down a little bit last year in sales. So that’s a little piece of advice. And then looking forward we have extremely short lead times anywhere from a few days to a few weeks. So we don’t get to look into the future as far as some companies do. We also don’t get cancellations because the opening is there by the time the window gets ordered. So we don’t get quite as good look at the remainder of the third quarter as maybe some people would.
Robert Wetenhall – RBC Capital Markets: Got it. And it’s pretty obviously you got really strong demand housing market definitely for me aggressively in Florida you got some good velocity with that, the vinyl product in North Florida. I’m just curious why not take a 6% price increase, who cares about the elasticity if you can get price instead of volume. And have you guys tried this before in the past, thanks.
Rodney Hershberger: Typically what we’ve done in the past and then we won’t be the same going forward. We typically in the past what we’ve done is we become more efficient as a company. And made a little bit more money and then as raw costs go up or our internal costs go up we raise the price. And at times that has been difficult to do because we’ve got a lot more efficient costs haven’t gone up and then all of a sudden they jump. And we try to go out there with some pretty large price increases. So now we’re trying to be a little more as you say less specific with our pricing so that we can get some price increases when needed. And internally it’s a constant battle for us with the how much market share can we gain. We know we’re gaining market share now versus where should we be on pricing. And I think it’s a pretty good balance that we’re seeing right now because we’re definitely taking market share by every measure that we have internally which I don’t think or even talk about externally a lot. We’re taking some market share and we want to make sure that we balance that with the right pricing out there because as the market becomes more stable and stops growing at the rate that its growing. We want to be the market leaders again where we can do a little bit more of what we want to do with our pricing. So that’s kind of the way we’re looking at the whole pricing market share structure.
Jeffrey Jackson: Yeah and I’ll add a little bit to that. Even the 30% it will impact volume. Right now we are at least 15% sometimes 20% higher than our competitors. And with a 6% it would again it creates even a bigger gap especially if they decide to run promotions etcetera. So until we’re hitting like, I don’t know a 20% EBITDA we almost got 18 this quarter like 17.7% EBITDA. As I can leverage that up we will look at potentially taking pricing again versus taking a one big 6%. But it is something we consider we still made money, a good money off of outside glass purchases even though we obviously as a hit door margin we still made good money over (inaudible).
Robert Wetenhall – RBC Capital Markets: If I could just sneak one in if you had taken out the impact of the inefficiencies from bringing in new labor during the quarter and it capture volume in price the same would your gross margin been 35 or 36 and where can you see gross margins going thanks a lot guys?
Jeffrey Jackson: Yes if we had an experience I mean we ran at numbers if we would have hit those again we would have been at a 35.5% gross margin easily. And we demonstrated that in the past just as recently as our fourth quarter of last year our direct labor was 10.5% and less in terms of percent of sales our scrap was much better. And we could have put that $2 million down to EBITDA. And you guys should do the math on that. It would definitely create a great EBITDA margin and obviously gross margins as well so as we get better, and I’m not again we can’t predict when but as we get better our margins can be and will be in the 35% to 36%.
Robert Wetenhall – RBC Capital Markets: Great stuff thanks so much.
Jeffrey Jackson: Thanks Bob.
Operator: I would now like to turn the conference back over to Mr. Jeff Jackson for any closing remarks.
Jeffrey Jackson: Thank you. We would like to thank everyone for attending our investor call today and we look forward to speaking with you all again next quarter. Have a great day.